Katarina Rautenberg: Welcome to the presentation of Investment AB Latour's Interim Report for the Third Quarter 2025. [Operator Instructions] I will now hand over to CEO, Johan Hjertonsson; and CFO, Mikael Johnsson Albrektsson.
Johan Hjertonsson: Thank you very much, Katarina. Welcome, everybody. I'm here together with our CFO, Mikael, and we will take you through our Q3 report that we published earlier this morning. So if we start with the first slide, the overall group structure is unchanged. Continued good performance of our operations despite the challenging business climate. The construction market is still slow overall, but some areas are growing, thanks to trends like energy efficiency, automation, where several of our businesses are well positioned. I will comment more on the financial outcome more in detail later on in this presentation. As for the U.S. tariffs, Latour's exposure in the U.S. corresponds to the 11% of our total net sales and the effects from tariffs are limited. Caljan, Hultafors Group, Nord-Lock Group and REAC within Latour Industries have the most exposure in the U.S. And we aim to pass on as much of the increased cost to customers as possible related to tariffs. Then if we go to the next slide with our portfolio on the 10 listed companies. The majority of our companies have reported for the Q3 and the picture of a weaker business climate is fairly consistent. However, the financial effects varies depending on the industry and geographic exposure. And I think in general, our 10 listed companies in general, show strong resilience. And many of the listed companies has reported strong Q3 results, for example, ASSA ABLOY, Sweco and HMS. The acquisition activities are high in our listed holdings. One example among several is Tomra, who acquired C&C during the third quarter, a leading provider of bag drop solutions for collection and processing of beverage containers in the U.S. And if we go to the next slide, no major changes with the listed portfolio during the quarter. Earlier this year, however, we increased our holding in CTEK to 35.3%. In the 9 months period, the value development of the listed portfolio was minus 2%, whereas the SIXRX was 5.8%. And the value has increased since then. And until yesterday, November 3, the portfolio value was SEK 90 billion, and the total return amounts to 3% so far this year, whereas the SIXRX is 9.6%. And if we go to the next slide again, about the wholly owned industrial operations. The order intake has increased by 70% of which 10% was organic and net sales increased by 8%, of which 2% was organic. This is a strong development, especially considering the somewhat weak business climate. The overall demand is difficult to predict, and the picture is mixed between regions and industries. For example, Caljan's order intake is very strong in the quarter, indicating renewed investment activities in the logistics sector, while Hultafors Group, for example, is still suffering from a weak construction market. The total order backlog is on a strong level, ensuring stable net sales going forward for the next couple of quarters. We have good cost control, but various growth initiatives, combined with currency headwind puts pressure on the operating margin on a short-term perspective. Continuing investments in our companies, however, key to ensure long-term growth and profitability. Hence, we can tolerate somewhat lower margin for a shorter period of time, confidence that will pay off looking ahead. And the adjusted operating profit increased to SEK 936 million compared to SEK 935 million with an operating margin of 13.9%. And if we go to the acquisition slide, during the quarter, Nord-Lock Group has finalized the acquisition of 75% of the shares in Energy Bolting in the U.K. and Latour Industries has signed an agreement to divest Batec in Italy to the Swedish Company, Decon. Batec is a manufacturer of electric and manual handbikes with an annual revenue of approximately EUR 5 million. With Decon as a new owner, the company will get great support to further develop the Batec's product offering. Energy Bolting is a U.K.-based manufacturer of critical fasteners. The company has an annual net sales exceeding GBP 7 billion -- GBP 7 million. Earlier this year, we have finalized 6 acquisitions. All in all, the conducted acquisitions so far this year adds more than SEK 1.8 billion in net sales on an annual basis. And we're very happy with that with good M&A activity so far this year. And having said that, I hand over with a warm hand to Mikael to take us through our business areas to comment on that. So over to you, Mikael.
Mikael Albrektsson: Thank you very much, Johan. And in ordinary fashion, we turn page and we start with the business area of Bemsiq Group. And Bemsiq had a continued good performance in the quarter with growing order intake driven by both organic growth and acquisitions. The total organic growth in net sales was 5%, which is a strong performance considering the challenging market within the real estate and construction industries. The operations in North America recorded the most robust development over the quarter. The adjusted operating profit amounted to SEK 110 million with a good margin of 21.4%. The margin was slightly negatively affected by ongoing growth initiatives and recent recruitments. Very well done Anselmi and team. We then turn page and move over to Caljan. And as Johan mentioned earlier, Caljan has recorded a very strong order intake during the quarter, well ahead of last year and a strong order backlog has been established for coming quarters. Net sales is down organically by 8% during the quarter. Aftermarket is growing while product divisions are below last year, adversely impacted by geopolitical uncertainty. But I think it's worth again to mention the very strong order intake in the period that shows a clear positive sentiment from customers' willingness to invest again. Caljan continued to have a good cost control and gross margin, however, not to fully compensate for the lower volumes and the operating margin amount to 13.3% in the period. Thank you, and very well done, Henrik and team. We then turn page and go to Hultafors Group. And the overall market conditions continues to be challenging for Hultafors Group in both Europe and North America and especially for the hardware divisions. The PPE division is, however, growing during the quarter. Total net sales grew organically by 2% compared to the corresponding quarter last year. The profit margin is lower than last year, mainly due to long-term investments for future growth and the adjusted operating profit amounted to SEK 214 million with a margin of 13.4%, which is good under the circumstances. All in all, very well managed by Anders and his team. We then turn page again and look at Innovalift. And order intake is growing by 41% in the period, supported by acquisitions and with a very healthy organic growth of 10%. Net sales grew by 36%, driven by both acquisitions and organic growth, especially within the Components & Modernisation segments. And the gross margin continues to improve step by step, however, slightly negatively affected by the cost inflation in Turkey. But as you can see on the chart, there is a very positive underlying trend on the margin within Innovalift. The quarterly adjusted operating profit amounted to SEK 109 million with a margin of 13.4%. All in all, very well done, Andrea and team. We then continue with business area Latour Industries, and the picture is somewhat mixed for Latour Industries business units, where we see a continued underlying good demand for REAC while the other business units are operating on somewhat slower markets. Order intake is growing organically by 7% during the quarter. Net sales is up 3% from last year and driven by a good performance by LSAB. The adjusted operating profit amounted to SEK 47 million, driven by strong results from MAXAGV. And the result is negatively affected by currency effects and the weak market climate as well as ongoing investments for the future. And it shall also be mentioned that Latour Industries currently has an under-absorption of their fixed cost on the central level following the distribution of Innovalift, putting additional pressure on the margin. But despite this, we are very happy to see a positive development on the margin during the quarter. And as the heading of the future states, the focus of Latour Industries continues to be on developing the existing holdings and to find new platform investments for future growth. So well done, Tina and your team. We then turn page again and look at Nord-Lock Group, who continues to develop very strongly despite a tough business climate, reporting growth across several metrics. Order intake grew organically by 5% during the quarter, and the net sales grew organically by a very healthy 13%, where all sales units contributed to the growth. And the order backlog is now on good levels. The quarterly adjusted operating profit increased to SEK 130 million with a strong operating margin of 25.5%. And as Johan mentioned before, Nord-Lock has acquired 75% of the shares in Energy Bolting in U.K., complementing the product portfolio in a very nice way. Very well done, Daniel and your team. We then turn page again to our last business area, Swegon, where we see that order intake is up 4% organically from last year. And given the business climate, this is a fairly good performance. Net sales were hampered by the general market uncertainty during the quarter. Total net sales grew by 10%, driven by acquisitions and organically, it was in line with last year. Profit margin is somewhat lower than last year, affected negatively by lower volumes, currency effects as well as investments in product development and other growth-oriented investments. And the adjusted operating profit came in at SEK 280 million with a margin of 11.2%. Very well done, Andreas and your team. We then continue the presentation to take a look at our net asset value. That decreased by 0.6% adjusted for dividends during the 9 months and amounted to SEK 210 per share compared to SIXRX that increased by 5.8%. The share price at the end of September was SEK 223, which means that there is a premium of 6% compared to how we present the net asset value. And as of yesterday, the net asset value was SEK 216 per share. The share price on the same day closed at SEK 238, which gives a premium to our way of describing the net asset value of about 10%. The consolidated net debt decreased during the quarter from SEK 16.9 billion to SEK 16.8 billion. And the net debt corresponds to about 11% of the market value of our investments, leaving headroom for further acquisitions going forward. And that summarizes my presentation, and I hand over back to you, Johan.
Johan Hjertonsson: Thank you, Mikael, and some comments around the financial targets. The summary of the financial target during the last 12 months, we have had growth of 10%, EBIT margin of 13.8% and return on operating capital of 13.8%. And if this is the bottom of the cycle, the low cycle that we're in right now, I have to say that's fairly strong because our targets, as you can see here, growth above 10%, operating margin above 15% and return on operating capital above 15% are to be seen over a business cycle. And it's nice to see that growth is once again increasing, and it's driven both by acquisitions and organic growth. And the operating margin I have commented. So let's go to the next slide. And to summarize, we are very happy with the development during the third quarter, especially considering the business climate with a 10% organic growth in order intake and 17%, including M&A. Latour is a long-term sustainable investment company and a responsible owner of creating value for our shareholders. In our wholly owned operations, we continue to invest with a forward-looking view to enable future growth and profitability and in the end, create value for our shareholders. We have a strong corporate culture that we treasure, which is of great value when we move forward in a volatile and rapidly changing world. Thank you for listening. And thereby, we also open up for questions and the Q&A section.
Operator: [Operator Instructions] The next question comes from Linus Sigurdson from DNB Carnegie.
Linus Sigurdson: Starting off with a question on Bemsiq. So by no means is this a bad quarter, but we're seeing some deceleration of growth here. And you also talked about this short-term pressure on margin from growth initiatives. Could you just help us understand what kind of initiatives these are? And how material the impact is in the quarter and going forward?
Mikael Albrektsson: Yes, absolutely. So good morning Linus, thanks for the question. And I mean, I think it's worth to mention that if you look on the historical growth rate for Bemsiq, it's been growing, I mean, double-digit 20% -- north of 20% for multiple years. And I think, of course, that takes its toll to the organization that every now and then you need to, in some way, also step up both, I mean, a bit of central resources, but also to, I mean, invest in the companies to be able to continue to bear that growth level. So I say, I mean, from -- it's that type of investment that is going into Bemsiq to I mean, build a bit more of a central structure as it is, as you know, very much an acquisition-driven growth journey as well in combination with taking the acquired companies to levels where we see that the quality of processes and quality of reporting and everything gets up to standard, which we think is necessarily to continue to grow organically over time. So I think that's what Johan means when that we are investing, but it will pay off over time.
Johan Hjertonsson: And a more general answer to your question, Linus, we see that more than 1/3 of the drop on the EBIT margin is currency related that goes directly on the gross margin. And then I would say a large portion is that we have not taken down any forward-looking costs or investments in R&D, marketing or sales activities. And that's a kind of a credo for Latour that we continue those investments on a high level even in a tough market. And then I would say maybe 1/3 of the drop is related to that we have managed to get pricing out quite strongly related to tariffs and other things, but like maybe not 100% but almost.
Linus Sigurdson: That is very helpful. And then I had a question on Caljan. Obviously, very impressive order intake and nice to see that the underlying demand is healthy. But it's been a while since we had sort of a normal environment for this company. Could you remind us the typical order book duration for a company like Caljan?
Johan Hjertonsson: I would say the order book duration is a bit hard to say exactly, but about 6 months out, you could say, 3 to 6 months out on an average on the order book. Caljan do operate in a market that is fairly volatile. And you could see if we backtrack some years in the onset of the pandemic, there were some extremely heavy investments into the logistics sector because of e-commerce and so on. And then at the end of the pandemic, you could say the sector was overinvested. So it was very low demand, but it's also now very nice to see that the investments are coming back into the logistics sector. So it looks quite good for Caljan now. But to your point, Linus, there has been over the years, some swings in the demand in that market.
Linus Sigurdson: Okay. My final question is on MAXAGV. Could you talk a bit about what kinds of end customers this company has? And if it's fair to assume that their geographic exposure is fairly local?
Johan Hjertonsson: Yes. And please add on, Mikael. MAXAGV is automated guided vehicles is mainly for manufacturing and factories to help move material in an automatic way in factories. And I would say it's a fairly Nordic-based market that they are addressing. Do you want to add to that, Mikael?
Mikael Albrektsson: No. I think that summarized it well.
Johan Hjertonsson: Thank you. Thanks for your questions. Highly appreciate it. Let's see if we have any more questions or in the chat.
Mikael Albrektsson: No questions in the chat.
Johan Hjertonsson: Well, we have to assume it was crystal clear then. So thank you, everybody, for listening in and looking forward to speak to you when we present the full year report in the beginning of next year. Thank you all.